Andrew Ransom: Good morning, everyone. So here's a quick look at today's agenda. I'm going to start with a few opening remarks, and then going to hand over to Paul who's going to provide a financial overview, including our regions and categories. And then I'm going to dive into our North American review and our action plan. We'll then be pleased to take questions. In 2024, we delivered revenue of GBP 5.6 billion, an increase of 3.9% of organic growth increased by 2.8%. But clearly, this was a challenging year for the group with lower profits and margins as we outlined in our trading update in September. We delivered good growth in International, which are our businesses outside of North America with revenue up 8.2%, of which organic revenue contributed 4.7%. And here, Pest Control organic growth was strong at 5.3%. On the right, you can see a breakdown of the North America and International businesses. Our International Pest Control and Hygiene businesses delivered revenue of GBP 2 billion. That's an 8.3% increase and with strong customer retention of 86%. I'll discuss the North America region in much more detail shortly. The integration itself is progressing well, and I'm confident that following our Q1 review, we're taking a pragmatic set of actions designed to drive improved growth. It was very good to see colleague retention continuing to increase, up by 2.4%. And operationally, this means that we had around 1,000 fewer people to recruit last year. You've heard me say many times that a great colleague experience leads to a great customer experience. And indeed, in 2024, we delivered improved levels of customer satisfaction with a further one point increase in our Net Promoter Score and increased customer retention, which rose by 50 basis points. Turning now to North America. On the integration front, branch systems integration progressed well in 2024. 58 branches had their systems migrated in the second half of the year, bringing the total number of North American branches operating on our Best of Breed systems to over 250. We also successfully delivered the first full branch migrations with rerouting and with our new harmonized pay plans, and I'll come back to this shortly. On the enablers of growth, colleague and customer retention improved by 4.2% and by 0.6%, respectively. Our Terminix It campaign had a positive impact on brand awareness and participation rates in our Trusted Advisor lead referral program have also increased. In the fourth quarter, we opened 10 satellite branches, and we currently have 22 of these low-cost local satellite branches now in the early stages of operation. While this is all encouraging, our biggest challenge remains increasing sales leads into the business, both through paid for and organic search. And we're putting in place a series of actions designed to improve lead flow and improve sales conversion of those leads. So looking ahead into 2025. Firstly, the integration program is now planned to restart early in the second half by which time the core IT developments will be essentially completed. We'll continue to monitor those branches that have been integrated whilst planning and preparing for the next phase of integrations, and of course, focusing on leads and sales ahead of the peak season. On growth, our plan is to continue to raise the bar on colleague retention, on customer experience and on customer retention and also on the Trusted Advisor program. We will accelerate our marketing efforts, focusing on stronger owned, earned and paid execution and supporting this will build our customer proximity and our local visibility. We plan to continue to open new satellite branches, and we now expect our end-state branch network, including satellites, to exceed 500 locations. We're also implementing a new multi-brand strategy, retaining nine of our powerful regional brands, meaning we'll have fewer branches to merge and to convert into Terminix branches. On sales, there will be a renewed emphasis on sales conversion with increased operational rigor. We are moving responsibility for field sales back to the branches, increasing sales colleague training and putting greater incentives around contract selling as opposed to onetime jobs. So this action plan aims to reignite growth in North America over the medium term, and I'll cover it more in detail later. But let me first hand over to Paul, who, as you know, joined us at the start of December, became the CFO on the 1st of January. I'd say Paul has made a very fast start, and he'll share his initial observations as well as providing the financial review. Over to you, Paul.
Paul Edgecliffe-Johnson: Well, thank you, Andy, and good morning, everyone. It's a pleasure to be here today for my first earnings presentation with Rentokil Initial. Since joining the company in early December, I've had the opportunity to meet many of our talented teams within the business. I look forward to getting to know all of you in the weeks and months ahead. This morning, I'll be walking through the key financial highlights from the past year and outlining some of the current financial priorities for the group. But before we get into the numbers, I'd like to take a moment to share some of my initial observations about the business. After spending the last three months immersed in the company, I can say that I'm pleased to be part of a business built on the foundation of great people and a strong culture, one that is ambitious, driven and hungry for success. From an industry perspective, the dynamics are highly attractive. We operate in a market that has strong growth tailwinds, including population growth and urbanization, and the runway for long-term sustainable growth ahead of us is significant. The global addressable market is over $26 billion with nearly half of that in North America. As a global leader in this fragmented industry, we are well positioned to grow both organically and through acquisitions. A key focus for us right now is the integration of Terminix, and this is a complex process. While there is still work to be done, once it's delivered, it will position us as one of the most efficient operators in the industry. We will have a highly competitive cost structure underpinned by some of the best technology and innovation capabilities in the market. This will further strengthen our position and enhance our ability to serve customers at scale. As we work through the integration, we do, however, anticipate that growth will see periods of disruption. This year, preseason Q1 is off to a slow start due to ongoing weak lead flow, in addition to noise from adverse weather and lapping the 2024 leap year. We, therefore, expect Q1 organic growth in North America pest services to be lighter than the same period last year. We do, though, expect to achieve a full-year financial performance in line with market expectations. Looking ahead, as we accelerate North American revenue growth against a scalable cost base, we are focused on delivering against an attractive growth algorithm, driving revenue growth through both organic expansion and strategic acquisitions, improving margins by enhancing operational efficiencies and leveraging our scalable cost base and generating significant surplus cash, which we will reinvest at attractive returns whilst also returning excess capital to shareholders. Of course, there is more work to do in each of these areas to fully optimize our performance, but the fundamentals are strong, the strategy is clear and the opportunity ahead is compelling. I'll now turn to the financial highlights for 2024. Group revenue was up 3.9% to GBP 5.6 billion and statutory revenue was up 1.1% to GBP 5.4 billion. Organic revenue was up 2.8%. North America underperformed. However, we saw continued good growth in the International business. As a reminder, this encompasses all of our regions outside of North America. The group topline performance delivered an adjusted operating profit of GBP 860 million, down 7.1%, with a corresponding margin reduction of 130 basis points. Free cash flow was GBP 410 million and cash conversion was 80%, within our guidance range for the year. GBP 172 million of investments in acquiring bolt-on businesses and GBP 229 million of dividend payments resulted in a year-end net debt-to-EBITDA ratio of 2.9x. The Board is recommending a final dividend in respect to 2024 of 5.93 pence per share. This equates to a full-year dividend of 9.09 pence per share, up approximately 5% year-on-year, in line with the company's progressive dividend policy. Looking now at our performance in North America. The North American business grew by 1.3%, which included the disposal of the Paragon distribution business. Organic growth was 1.5%. There was a modest improvement in organic growth into the year-end, supported by the product distribution business and a stable performance in pest services. This resulted in half 2 organic revenue growth of 1.8% ahead of the revised guidance of circa 1%. Adjusted operating profit for the year of GBP 573 million, down 7%, reflects the combined impact of below plan revenue growth in the year and significant in-year investments to drive revenue. As we previously communicated, our spend through the peak season was higher than expected. Consequently, despite continued good price realization, adjusted operating margin in North America declined to 17.1%, in line with our revised guidance. Through our RIGHT WAY 2 plan, in 2024, we deployed sales, marketing and customer experience initiatives to reinvigorate growth, but they are not yet delivering the levels of organic growth that we expect. With the insights gleaned from the review period at the start of this year, we are making adjustments to our approach to drive enhanced lead generation and sales conversion. Andy will speak to these shortly. A portion of the investment made in 2024 has not driven optimal effectiveness and efficiency, and so in 2025, will be redirected to fund the new strategies. During 2025, we do not anticipate the need for additional investments over those which were made in 2024. We are pleased with the progress we have made on the Terminix integration process. The 2024 integration plan was delivered according to our time line. Across the North American business, we have seen improved customer retention in the year. The retention rate now exceeds 80% with the last 3 months of the year the best at over 81%. The North American bolt-on M&A program continued with the purchase of 13 businesses with combined annualized revenues of GBP 69 million. Moving now to discuss synergies and margins. In 2024, we continued to achieve gross cost synergies from the Terminix integration whilst also continuing our significant investments behind salary and benefit harmonization, safety, innovation and IT. We also saw another year of inflation in the cost base. During 2024, we made significant in-year sales and marketing investments focused on driving revenue, including behind brand awareness, lead generation and sales infrastructure. A portion of the investment behind these opportunities is not driving optimal effectiveness and efficiency. In 2025, this will be redirected to fund the new strategies we will be deploying in respect of our enhanced brand strategy and our enlarged branch strategy. During 2025, we expect further inflation on our cost base. But beyond that, we do not anticipate the need for additional investments over those made in 2024. We're now three years post the announcement of the Terminix deal. And going forward, we will not report separately on net synergy delivery. Disaggregating investments and inflationary cost increases from synergistic cost savings over multiple years has become increasingly subjective. We do, however, remain confident that at the end of 2026 when we expect integration to be complete significant operational cost savings will have been achieved, in line with initial expectations of gross synergies. Branch integration and improved route density will significantly improve technician efficiency. From 2027, the cost reduction is estimated at a $100 million reduction from the inflation-adjusted 2024 spend level. We expect that from 2027, delivery of these cost savings together with an improved organic growth rate post integration will enable the North American business to achieve operating profit margins above 20%. We are retiring the previous group adjusted operating margin target. The total remaining onetime cost to achieve in 2025 and 2026 are expected to be $100 million. Moving on now to the International business, which we are reporting on collectively for the first time for 2024. We saw good growth in International with revenue up 8.2% to GBP 2.2 billion and a 4.7% increase in organic revenue. This was led by Pest Control, which grew organically by 5.3% and by Workwear, up 7.1%. Growth was broad-based across the regions. Our second largest region after North America, Europe and LatAm, was up 5%. Adjusted operating profit in international was also up by 5.7%, and we experienced a 50 basis point operating profit margin reduction. In our Europe and LatAm region, Europe delivered a stable margin, but there was a slight drag from LatAm, where adverse weather impacted the shipping fumigation business. The UK margin was impacted largely by the acquisition of the lower-margin specialist Hygiene company DCUK. The International business continued to exhibit strong customer retention with all regions roughly stable or improved, each delivering a rate of over 80%. Likewise, colleague retention rates were excellent with standout performances in Asia, over 93%; and Europe and LatAm, above 90%. The bolt-on M&A program continued across our International operations with the purchase of 23 businesses with combined annualized revenues of GBP 71 million. Looking now at the performance of our business categories, starting with Pest Control, where we remain a global leader with GBP 4.4 billion of revenue. Total revenue grew by 2.9%, of which organic growth was 2.5%. Organic growth in North American Pest Control was 1.5% and 5.3% in International, in line with our medium-term range of between 4.5% and 6.5%. In the Hygiene & Wellbeing category, we delivered revenue growth of 8.4%, of which 3.1% was organic. Organic growth was held back later in the year owing to strong prior year comparatives. We continued to expand our range of core services to build product density. And in 2024, we acquired 13 companies with annualized revenues of GBP 34 million, exceeding our medium-term guidance of GBP 25 million per annum. Our French Workwear business benefited from strong new business sales and delivered revenue growth of 7.1%, all of which was organic. Adjusted operating profit grew by 8.6% and the business delivered margins of 17.7%, another very strong performance. Turning now to group cash flow. We recorded a GBP 105 million working capital outflow for the full-year. While debtors performance in the second half was broadly in line with expectations, we experienced a higher outflow on creditors, primarily in North America, alongside an increase in inventory levels. We expect to see an improvement in working capital in 2025. Capital expenditure totaled GBP 211 million for the period, supporting our ongoing investments in growth and operational efficiency. Lease payments amounted to GBP 145 million, reflecting a 4% reduction year-on-year, primarily due to branch restructuring efforts as part of our integration work. On the financing side, cash interest payments decreased by GBP 22 million. This was driven by higher interest rates on investment income and lower swap payments partly due to a weaker U.S. dollar. Cash tax payments were GBP 87 million, a GBP 13 million reduction year-on-year, reflecting lower profits in North America alongside tax refunds received during the period. From a capital allocation perspective, we remain disciplined in our approach. Cash spent on acquisitions totaled GBP 172 million, aligning with our strategic focus on targeted growth. Dividend payments amounted to GBP 229 million, while the cash impact of one-off and adjusting items was GBP 77 million, largely attributable to ongoing Terminix integration costs. Overall, our financial management continues to support both our near-term priorities and longer-term strategic objectives, ensuring we maintain a strong and resilient balance sheet while investing for sustainable growth. Turning now to capital allocation, where our framework is built around 5 key priorities designed to balance growth, shareholder returns and financial resilience. Our primary focus is on organic investment, deploying capital to support the long-term growth of our business. This includes investments in technology, operational infrastructure and innovation to enhance efficiency, service quality and market competitiveness. We will also continue to pursue targeted inorganic growth through bolt-on acquisitions. We have a strong track record of successfully integrating acquisitions to drive value creation and we will remain selective and strategic in identifying opportunities that complement our existing portfolio, strengthen our market position and deliver long-term shareholder value. We remain committed to a progressive dividend policy, ensuring that dividends grow over time. Our approach reflects confidence in the underlying strength of our business and our ability to generate consistent cash flows whilst maintaining financial flexibility. Additionally, we recognize the importance of returning excess capital to shareholders at the appropriate time. When we have surplus capital beyond our reinvestment needs, we will evaluate opportunities to return it, always ensuring that such actions align with our broader financial strategy. Finally, we remain focused on maintaining a strong and resilient balance sheet. Our net debt-to-EBITDA at year-end was 2.9x. We do expect this to reduce during 2025 towards our targeted range of 2 to 2.5x. In summary, our capital allocation strategy is designed to strike the right balance between investing for the future, delivering long-term value to shareholders and maintaining financial strength. So to conclude. Looking ahead, we are focused on delivering against our attractive growth algorithm to enhance revenues, margins and cash generation, which we are confident will allow us to secure sustainable growth. For 2025, we have, as usual, provided here our key technical guidance and would remind you that from Q1 we will be moving to dollar reporting. So this guidance is provided in dollars. And with that, I'll now hand you back to Andy.
Andrew Ransom: Thank you, Paul. Right. Let's now focus on North America. Well, I'll start with the integration. I'll then cover the continued execution of our RIGHT WAY 2 growth plan, including the important new satellite branches and regional brands before we take any questions. We made good progress with the integration in the second half of the year. We completed the systems integration for another 58 branches, mainly Terminix residential, to add to the existing Rentokil network and that takes the total number of branches in North America now operating on the unified Best of Breed systems to over 250. We also piloted our first rerouting, rebranding and new pay plans in 9 branches. And whilst it's obviously early days, we've seen some encouraging results with colleague retention in line with pre-migration levels; and customer retention, in fact, increasing on our pre-migration levels. Since then, we've continued to fully integrate a further 41 branches. So this means we've got around 15% of the Terminix branch network has now been fully integrated. I'm not going to go through this slide in detail, but I do think it's worth remembering our journey in North America from where we started in 2022, a highly fragmented network of over 70 systems, 80 brands, different pay and benefit structures, multiple vendors, no uniform customer experience. And since then, we've made significant progress. And just a few examples on the screen, we've got a fully aligned back office set of functions. We've got a single management team. We've introduced Rentokil's laser focus on colleague experience and colleague retention. We've rolled out a single people management system. We've set the innovation center up and running, and the first branch system integrations executed successfully last year. Undoubtedly, this has been a significant lift for the organization and there's much work ahead of us, but the Terminix integration is targeted to be complete by the end of next year. And at that point, we'll have a fantastic platform in the world's largest pest control market with a modern branch and IT network that's scalable to support future organic growth, and indeed, M&A. And as Paul covered earlier, we expect North American margins to be above 20% in 2027. So turning to growth. Here's our RIGHT WAY 2 growth plan and showing how organic growth is generated from both existing and from new customers. Now the context for our Q1 review was colleague retention significantly improving since 2022. We said at the interims that customer retention would be a major focus for us going forward. In 2024, we made the first investment into the Terminix brand for several years. Inbound leads, though, have not yet been at the level we expect and we've got much more to do on organic search, in particular. And as you can see, we've marked this as red on the model. And increasing the leads, of course, will also improve the other area in red, which, as I mentioned earlier, is sales. Our first satellite branches were opened in the fourth quarter and underperforming on new sales with organic growth at 1.5% for the full-year. So that was the context for the review. So let me start looking at our North America organic growth model and I'll cover the key areas that we've identified for needing improvement and those that we are actively addressing. A key enabler of our plan, of course, is colleague retention. And here, we are making good progress with North American colleague retention up by 4.2%, and notably, Terminix colleague retention has increased 13.9% since the integration began. This is foundational to our future success. Retaining more technicians enables a consistent high-quality service, which in turn feeds into another crucial area and that is customer retention, as we called out at the half year. And we've seen progress here as well with overall customer retention improving by 60 basis points to 80.1%, and in the fourth quarter, increasing to over 81% in each month. We've launched the Drive to 85 initiative, and that includes 20 projects, which are focused on further improving customer retention. And we now have greater focus and energy across the whole U.S. organization on delivering customer satisfaction and retention. We've invested in our customer sales team, and this has been instrumental in our efforts with a level of customer saved increasing in each of the last 3 months of the year. This was supported by good levels of customer service and indeed has also resulted in over 55,000 online 5-star reviews for our U.S. Pest Control brands, and that's up by around 200%. Our Trusted Advisor program is focused on generating additional sales from existing customers coming from sales leads from our front line technicians. And here, we continued to enhance our approach with better data reporting, with an increased focus at branch management level and training for all new technicians as part of their onboarding. And as you can see, both Terminix and Rentokil have increased technician lead participation rates. So good progress on Trusted Advisor, but much, much more to go for. On brand awareness, we significantly invested in the Terminix brand in 2024 with the Terminix It campaign. And this has resulted in a noticeable improvement in brand favorability with unaided brand awareness increasing by 7 percentage points, reaching levels not seen since 2021. Now here, you can see some of our latest brand research and how we are performing against a leading competitor. Unaided and aided awareness combined to give a total awareness result, and as you can see for Terminix, the brand has reached almost complete saturation with a 98% level of awareness. And as you move down the funnel from awareness to consideration, about half of those aware of Terminix would consider using the brand for their pest control needs. That moves then to conversion at 42% and recommend to others at 38%. So our ongoing brand investment will generate long-term benefits and opportunities for the business. Our challenge here is to build on these good results whilst also adding the firepower of our regional brands. As I mentioned earlier, our biggest focus remains on increasing our lead flow, both through paid-for and organic search. In 2024, we bolstered our marketing team as part of our overall long-term investment and we primarily used the paid-for search marketing lever to generate leads. Now that worked to some degree with an increase in leads year-on-year. However, this is an area that we must improve on significantly, accelerating owned, earned and paid-for execution and realizing benefits from a fuller suite of marketing solutions. And this will be a major focus for this year. Sales execution is also an area that we're actively focused on and which needs to improve. Once we get the leads, we need to sell them and at better average values. And in particular, we need to sell more contracts rather than one-off jobs to get our overall portfolio into positive and consistent net gain. That said, we did make progress last year on sales colleague retention, which is critically important because those colleagues who've got over one year of service are typically around 50% more effective than those with less service time. So a 6.4% increase in sales colleague retention means that we now have more than 100 additional sellers entering their second year. So now turning to actions on growth. The first area is to build on the progress that we've made to date, raising the bar on colleague and customer retention, on Trusted Advisor leads, on pricing and on continuing to deliver an efficient work order installation program. Secondly, we must get better at driving leads into the business and we're putting in place a much better plan to realize the benefits of our fuller suite of marketing solutions. On organic leads, we have a new agency appointed and new content development plan is in place. And we're also adding digital marketing expertise from our UK center of excellence to directly support the U.S. team. Equally, we've got to improve on our sales performance. And here, we're putting in place some key initiatives to drive sales success this year. We're moving sales responsibility fully to the branches for field sales activities. So there's greater accountability, greater line of sight for the branch managers between sales and service. We're adding further operational rigor, targeting greater inspection proposal and close rates and also targeting improved speed from lead to inspection. We're introducing more differentiated sales commissions, so we'll pay more for contracts than we do for one-off jobs. There'll be more sales training, career development and focused on improving sales colleague retention. We're also launching a new door-to-door sales pilot, which will be deployed throughout the high season. Now supporting these plans, there will be more satellite branches and we will retain more of our strong regional brands as independent brands for the future. As you know, to enhance our local presence, we've initiated a new satellite branch program. We've got 22 now in use. These smaller strategically located branches aim to bring us closer to our customers, improve brand visibility, enhance operational efficiencies, such as localized team meetings, and indeed, support our local marketing initiatives. Clearly, it's very early days with the satellite program, but the overall results so far are positive and we're revising our end state plan for branch locations increasing from around 400 to now over 500. In addition, of course, we've also got over 100 franchise-owned and operated Terminix branches in the United States. Adding to this greater local proximity, we're revising our brand strategy to keep 9 of our strong regional brands independent of the Terminix and Rentokil brands. These are very well-known regional brands that we will now retain as stand-alone brands in typically stand-alone branches, so reduced need to merge with Terminix branches. These include Florida Pest Control, Ehrlich, Western Exterminator and Bug Out, as you can see on the right of the screen. So we're raising the bar in areas of good progress, such as colleague and customer retention. We're putting in place a better plan for inbound leads. We're driving far more operational rigor and local accountability in sales, all of which will be supported by our satellite branches and a powerful lineup of independent brands and branches. And so just to wrap up, the branch integration made good overall progress last year and is now scheduled to restart early in the second half. But clearly, we're not delivering the levels of organic growth that we expect. And our main challenge is lead generation and we're implementing the key changes that I've just outlined. Post integration, we remain committed to delivering 1.5x market organic growth in North America Pest Control over the medium term. We expect North America margins to exceed 20% in 2027. And we continue to have a strong M&A opportunity to exploit also with deals to be done this year and next year as well. Finally, we remain confident in our opportunity to secure sustainable growth globally through our market-leading positions, new innovations, digital technologies and cities of the future strategy. And in North America, that will come once we've completed the integration of Terminix. So in the year that Rentokil celebrates its 100th anniversary, I'll leave you with a slide that sums up just some of the many reasons why we're looking forward with confidence as we start this incredible brands next century.
A - Andrew Ransom: With that, Paul and I will be very happy to take any questions. We'll start in the room and Paul will keep an eye on the screen for additional questions. Thank you very much.
Simona Sarli: Good morning. This is Simona Sarli from Bank of America. So first of all, if we start from the digital leads and also the progress that you made with your new digital tools and IT systems. So it sounds like it is effectively now across 250 branches, which should be roughly 80% of your legacy branches and 20% of the combined ones. So the question is, if we look like the digital leads now in Q1 that you mentioned that they are still weaker, can you differentiate between the branches where you have rolled out those systems and those that are still on the legacy ones? And the second question, what has been the challenge in rolling out these systems? So why we are still at the 250 branches? And what should we expect in terms of 2025? Second topic would be more related to the new incentive scheme for the sales force and the differentiating commission structure that you are talking about between contracts and one-off work. So on this one, what has been so far the feedback from the sales people? And what is the percentage of the sales force that has been rolled out on this new scheme? Third and last question, it is...
Andrew Ransom: I'll turn over.
Simona Sarli: Sorry, it is on cost synergies. Yes. And I appreciate, Paul, in your initial remarks where you said that it is difficult to compare it to the old target of more than $200 million. But what has changed since then because I would have assumed that already at the time you were factoring in also the impact of inflation? Thank you.
Andrew Ransom: Okay. For no reason other than I'd like to hear Paul's voice, let's start with the third one and then we'll work back up the list. I'll take the second and share the bits.
Paul Edgecliffe-Johnson: Thanks, Andy, and thanks Simona. So I guess my first point would be that I don't really like putting out any targets. And in my old world, that was my model. The business there was reassuringly boring and that's where we aspire to get back to. But we thought it would be helpful for people to understand what our current view is on these cost synergies and what we'll achieve. And the first point I'd make is that we have actually achieved a lot of cost synergies already and that we have confidence that we will continuing to do that – we will continue to do that. But there's a lot more to go for and that's why we're going through all the pain of doing this. We'll end up with a very efficient operating model, which will give us a really good platform to win from. As I look back to when we bought the business to now, I mean, there's multiple years of quite high levels of inflation, there's investment that's gone in behind the integration. There's investment that's gone into the business, you could say, outside of the integration. So actually mapping back and saying, so comparing to this target, I think it's a bit unhelpful. What I think everyone is focused on is once we're through the integration process, so 2027, what's the cost base going to look like and how much can we grow the business by. So I think that's the key metric and that's what people will rightly start to think about. So I've tried to help people get to the right point on that by saying that if you take the 2024 cost base, we will still have inflation in that, but you had inflation for a few years, you take over GBP 100 million and that's the cost base that we expect to operate with in North America. That said, the gross cost savings that we set out to achieve when we did the deal, that we will achieve, but I think this is the more understandable way getting to the right number for 2027. So I hope that helps, Simona.
Andrew Ransom: Thanks, Paul. I'll try the second one, sales incentive. There's two parts to this answer. I touched on it, but I didn't really unpack it. If we look at our performance in 2024, which we're very disappointed with in terms of organic growth, if you actually differentiate between jobbing and contracts, our jobbing performance was pretty respectable. Our contract performance was not respectable in my view. And ours is a portfolio business, we're roughly, whatever it is, 67%, 70% contract portfolio, 30%, 32%, 33% jobs. And it's a subscription business. So what is really important, which I touched on in the press release there, which is we've got to get our portfolio into positive healthy net gain. We have to sell contracts. And the schemes in – on the Terminix side of the house really have not differentiated between contracts and jobs. The Rentokil ones historically did. That is a floor in the scheme. Changing sales incentives may sound an easy thing to do, but it absolutely isn't because you have to plumb it all the way through your systems and your pay schemes. And so it's actually quite difficult to make those sorts of changes. So the change that I've referred to there in terms of incentives for contracts versus jobs is something that we are intending to do as we go into the next few weeks and months. What – the second part of the answer in terms of the sales pay plan is a broader piece, which actually addresses this issue as well. But that is for all sales across the entire North America business we are moving to a single harmonized pay structure for salespeople. And that's what I referred to. We've done that now in nine branches. We've done it now in 41 branches. We've addressed it in national account sales. We've addressed it in the indoor sales team. But for the field sales colleagues, that is something that gets rolled out and deployed as we roll out and deploy the integration of the branches. So two parts. The difference between contracts and jobs. That's something that we will try and fix in the next few weeks and months across the piece. But to get to one single harmonized set of sales incentives, that will go through the integration program. So when we restart in the beginning of the second half, more branches, more salespeople will go on to the new pay plan. The first point on digital leads, when we integrate and you take two branches and two brands, in some cases, and you put them together, you will have an impact – a negative impact on organic growth. I'll say it again, you will have a negative impact on organic growth, it's almost impossible not to. If we look at what were we worried about, and I've shared this many times, what we're worried about when we integrate branches, we were worried would we lose a lot of colleagues because if you lose a lot of colleagues you lose customers. We haven't seen that. Colleague retention has been great. We were worried we would upset customers as we make the changes because your technician changes. We haven't seen that. So, so far, the two big things that we're most concerned about early days, the two big things have gone well. But in terms of leads, you will have an impact on these because you're changing branch, the location; you're changing brands. And so yes, you will see an impact on that. So that's probably as much, otherwise I'll talk for 10 minutes. So next question.
Annelies Vermeulen: Hi. Good morning. I'm Annelies Vermeulen from Morgan Stanley. I have three as well, please. So just on the lead generation and performance of the regional brands given you've decided to keep more of those brands, I'd be interested to know if there's any data to suggest that those are performing better than the Terminix brand as part of your decision to keep them? Then secondly, just on employee retention. I think in the statement and in the presentation, you mentioned there was an increase in both new joiners and longer-tenured colleagues. So how has retention developed for those most experienced technicians, salespeople, et cetera? From memory, those are the ones with the stickiest customer relationships, so I would imagine a key driver of that customer retention. And then just lastly, on Workwear, since we last spoke in October, there were some fairly detailed press reports regarding an imminent sale, I think, in November. Any comment on that? And is a sale in 2025 baked into your assumptions for the year? Thank you.
Andrew Ransom: Thanks. On lead generation, I mean, it may not be the answer that you're expecting. The organic search performance of the regional brands has been poor. So the non-sequitur between so, hang on, so why are you going – we were on a strategy that basically these brands were being retired over time. They were going to be co-branded with Terminix. So for example, Western exterminator was planned to become Terminix Western. So the team gets super, super focused on Terminix and don't get super focused on Western. And that is part of an intentional deprioritization in 2024. We've changed the strategy that said, no, no, no, we're not doing that. Maybe we should have done that before. But that's where we are now. So Western – we need to love Western. So we have a team of people now actually out of the UK center of excellence team supporting the Western brand to get Western's organic content to where it should be. So that answers the first one. Second one, I don't have a split, to be honest, in terms of new tenured to long tenured. But all of our data, and it's consistent with most companies around the world, you typically suffer much worse with newbies. So the retention rate is always worse in the zero to six and the six to 12 and always better once you get people through one or two, threeyears, that won't be any different. Our data won't be any different. Workwear, the imminent sale in November, I think you're referring to, and where are we now, March. I'll give you the same answer as I always do. You saw the performance of Workwear. Workwear is a beautiful business, performing well, super management team. But it is non-core. It doesn't fit with the branch-based model we've got. We only have it in one market in France. And what we've always said is if there is another owner out there who is a better natural owner for the business in a transaction, which would represent good value for our shareholders, then we will look at that and that remains our position.
Suhasini Varanasi: Hello. Yes. Hi, good morning.
Andrew Ransom: Hi.
Suhasini Varanasi: Suhasini from Goldman Sachs. Just three from me as well, please, but hopefully, not too long. I just wanted to understand the assumptions behind your guidance for 2025 about meeting market expectations, being in line with market expectations. What are the assumptions on growth and margins that you have baked in there? And despite the weaker start in 1Q, do you have any data on leading KPIs that support an improvement in organic growth over the coming quarters? Second question is on U.K. actually. National Insurance living wage increase, do you expect an increase in costs as a result? And what are your plans to mitigate it? Third is provision on the cash flows. We've had provisions on the cash flows for a couple of years now. Is this going to be an ongoing part of the cash flow statement in the future years? How should we think about that? Thank you.
Paul Edgecliffe-Johnson: Thank you. So in terms of the guidance for 2025, yes, we've talked about the fact that we do expect to meet market expectations. And principally, when I talk about that, I'm thinking about the bottom line attainment, it is difficult, as Andy has just talked about extensively, to know when more fuel will start to come into our engine and when we'll see the organic growth tick up. As it does, then we will see just naturally that higher level of organic growth be delivered. We haven't built in heroic assumptions in our expectations as getting to that level for 2025 as you would anticipate. But we are confident we will meet market expectations. And I don't have any further guidance around new margins, et cetera. And I'll sort of go back to my earlier point, I don't really like giving out multiple targets. I just think it's not the right thing for a business that is going to be reassuringly boring in, hopefully, a few years. In terms of National Insurance costs, yes, it is about a GBP 5 million additional cost into business, which obviously, we've built in to our expectations. And in terms of provisions, as we work though, making good progress managing that. And yes, we do expect that, that will continue to be part of the business as we go forward, certainly for 2025. And if anything changes in future years, then we will provide additional guidance on that. Thanks very much.
Christopher Bamberry: Good morning. Chris Bamberry, Peel Hunt. So another three questions. Firstly, with the revised brand strategy, how should we think about the fact there's less integrations with Terminix? I presume there's some sort of saving against. You've now got nine brands to support with marketing. Secondly, of the 100 additional locations, how many of those are satellite branches? And given you've got quite relatively small sample because if you said 22 in use, what gives you confidence that, that additional 100 overall is the right answer? And finally, of the organic growth in North America, 1.5%, what was the price contribution to that? Thanks.
Andrew Ransom: Sorry, could you repeat the first one because I didn't quite catch it. I've got a cold. I'm going deaf in my left ear.
Christopher Bamberry: No problem. So with the change in the brand strategy, on one hand, you've got, I presume, cost savings because you have less to integrate or to convert to Terminix. On the other hand, you've now got nine brands to support. So how can we think about that down the road?
Andrew Ransom: Yes. I think, as you guys often do, you sort of answered your own question there a little bit. So as we think about the branches and the brands, you're quite right with retaining 9 regional brands, it means we're going to retain more branches. So I'm not going to give you the split between how many satellites and how many regular branches, but there's a mix of those. And therefore, you're quite right. On the one hand, that means less cost to integrate, but it also means a little bit less synergy to come out of those because we would have been merging those branches. The cost to set up a satellite branch is very low relative to a full conventional branch. It's a small facility. It's meeting rooms, et cetera. It's a branded facility. And so that's really – it's a very modest, you wouldn't even notice it. We've said above 500, so sort of hold on to that thought. As the satellite branch program works, if it works in the way that we believe it will, we could well add substantially more. So it's not an end state and we're working through this now. So I think if the – you asked why we got the confidence, well, the early days is can we find locations? Yes. Can we find locations that are sensible cost? Yes. Can we get the search engines to recognize those locations as physical locations and get picked up? Yes. Can we drive 5-star reviews from our technicians into those pins and those locations? Yes. Is the phone ringing and our customers calling those locations off the back of searches they've made on the Internet? Yes. Can we sell those leads and turn them into revenue? Yes. So that's a series of it works. Now they have to be optimized. Now you've got to get your – back to the earlier, you've got to get all of the web content, all of the pages for every single one of those satellites. So I think one of the things that Paul has talked about we got to this point of synergy, investment, inflation, additional investment. And it's difficult enough running the business to try and talk with one language on that. That's why we said it's all baked in. We will get to net operating margins above 20% in 2027, taking into account the additional cost of the satellite branches, the additional growth we expect to get out of the satellites, the synergies that we'll get from merging, the loss synergies we'll get from not merging. That's all being taken into account. It's one of the reasons that the whole reporting on synergies separately from other lines in the P&L is confusing. So that's my attempt to answer your first and second question. I'm not going to give the split between the 100, it could well be over 100 and it will be a mix of satellites. And we'll report in later periods how is that going. It looks like it should go well. The third question, Paul?
Paul Edgecliffe-Johnson: And if I understand the question, I think it's around what's going on in core Pest versus what's going on in the distribution and other businesses that we've got, which we saw a stronger performance in the distribution and some of our other businesses in the back period of the year. And we do provide a few different metrics around North America with Pest Control and pest control services. So we've put all of those in the RNS. Going forward, I think I just want to understand what's most useful for people because we do provide an awful lot of data. We are trying to back off that a little bit. We go into International rather than everything. So we'll try and make sure we're directing the information that you receive, so it's always consistent and then you can build that into your models as effectively as possible. But did that address the question?
Christopher Bamberry: Well, actually, put this kind of 1.5% north how much is pricing as opposed to...
Paul Edgecliffe-Johnson: Sorry. So we had a strong pricing performance and we lost volume. So pricing continues to be, as we've talked about before, inflation plus, and we've lost volume, which I think we saw the prior year as well. Thank you very much. Thank you.
Sylvia Barker: Hi. Sylvia Barker from JPMorgan. Two questions from me, please. First, on working capital. Could we just talk about our North American outflow a bit more. So how much of the outflow was North American creditors? And why did you have that issue? What do you expect for 2025? And then secondly, appreciate you don't want to give more guidance of 2025. But just if we think about the cost base in absolute in North America overall, obviously, very different halves and lots of moving parts up and down. If we – if I kind of extrapolate the cost base into – sorry, from 2024 into 2025, do we just take the second half and put an inflation number on it? Or can you talk a little bit about the moving parts? In the past you've discussed savings from reducing the sales force, further investments in growth, et cetera, et cetera? Are there any bigger items, that will be interesting as well.
Paul Edgecliffe-Johnson: Yes. Thank you for those. So in terms of working capital, as I said, a bit of a disappointing second half compared to what we had anticipated at half 1. So across the year, we saw GBP 105 million working capital outflow and that compared to a GBP 47 million outflow in 2023. For 2025, we're guiding to $75 million to $85 million. And at the half, we had anticipated that we would do a bit better at creditors, which we did during the second half. But what we haven't built in is that we had a deterioration in creditors. So a bit better in debtors, but deterioration in creditors. And we need to focus on that this year. A lot of distractions in the second half of last year, new management team in finance in North America. We've got a great new CFO there now. So as I said, I'm not happy with the performance, but more that we need to do. In terms of the 2024 to 2025 mapping of the cost base in North America, what I've said there is we will see inflation, but significant costs went into the cost base in North America to fund a lot of new initiatives and we will reprioritize those to fund the new initiatives behind brands and branches that Andy has just been talking about. So we're not going to require new additional investments there. That's our expectation at the moment. We can use what we've got more effectively. So we'll repurpose it and drive a better level of return from that investment. But I'm not going to split it out half 1, half 2 or try to get into anything like that.
James Beard: Good morning. It's James Beard from Deutsche Bank. Two questions, please. You mentioned that some of the investments you made in 2024 you're effectively repurposing in 2025. Can you describe in a bit more detail which investments you made in 2024 didn't work? And then second question, within the 1.4% organic in pest services in North America in FY2024, can you give a sort of directional split between resi and commercial? And I guess as sort of a follow-on question, your large competitor in the U.S. recently has been talking about investing in sales and marketing quite significantly within their commercial business. How do you plan to respond to that? What impact have you seen, if any of that, from that so far? Thanks.
Andrew Ransom: I'll take the second one. You want to take the first?
Paul Edgecliffe-Johnson: Yes. So in terms of the repurposing and what didn't work, I think there's a combination of factors in this, which is I've talked a little bit about the fact that we're building a more powerful engine here and everything that we're doing around the integration is creating that. We're not getting the fuel to come into the engine though to deliver the growth. So a lot of program integration, not enough leads coming through. If you think about running a business as you're coming into high season, we've built up our capacity in terms of service people, in terms of consumables, in terms of having people ready to do the business and then the leads didn't turn up. So you have some surplus capacity there. We also deployed additional investments behind marketing that we thought would drive a higher level of leads, various initiatives, whether that's additionally buying keywords, various other sales and marketing ways of going to market, which just didn't deliver what we needed. So 2025, we'll stop doing that. And with our new strategy around more branches and more brands, we've got a different way to go to market, which we are confident will deliver a high level of performance.
Andrew Ransom: And James, on the split, I mean – maybe one day, this is wistfully, we might get to report on commercial, resi termite. We don't. We never have. It's not the way our business is set up. So it's a difficult thing to compare like-for-like. And it's always difficult as well, in certain competitors, termite definition includes home services such as loft insulation, so comparing like-for-like is difficult. What I'll say is the batting order of performance across our business and organic growth hasn't really changed. The best performing part of that is national account and that's where you tend to see us and 2 or 3 other big players, and that's where you might see real competitive rivalry and intensity. And that's where we're doing best. And I don't really see much change to that in answer to your question. Commercial is our next best, resi is our next best and termite is our weakest. So we've got a real focus this year on to termite, improving our termite story. So that's our batting order. It's been that way for a little while. I've been in the business a long time and Rentokil has been in the business for 100 years. There's always competitors and there always will be. It's a local business. It's a local market business. And that's why the relevance of branches and physical location and where your pins are is quite important. So whether it's one big competitor saying they're going to focus more on one sector or one segment, we've still got 19,000 competitors spread across hundreds and hundreds of cities. So if it wasn't them, it'd be someone else. There's always intensive competition in the market, always has been. I suspect always will be. So I don't think we're seeing any new change in the competitive environment in North America.
Ollie Davies: Hi. Ollie Davies from Redburn Atlantic. Just a couple from me. Just on the customer retention number in Q4, the 81% that you reported, obviously, 1 percentage point above the full-year. Just wanted to understand if there's any seasonality in that number, maybe how it compares to Q4 last year and how that's progressed into the first quarter? And then secondly, just going back to pricing, is it fair to assume that the sort of same levels of price increases are sticking now as they were through last year?
Andrew Ransom: Yes. That's super detailed question. I'm trying to think of the answer. I don't think there's massive seasonality. I remember, December of last year was very good. But I think this compares quite nicely with where we were last year. So I don't think we get a seasonal benefit. I think what we're seeing is – I mean, we can see it, we put an additional 40 people in the customer sales team. That's 40 additional people answering phones, making phone calls and dealing with people who otherwise would be looking to cancel their contracts or not renew them. And we can – we're tracking that activity, how many calls, how many calls were positive, how many people were saved, what were the initiatives that saved them, what did you have to do to save them. So we can see that there is an impact, a positive impact, that we are getting from that investment. So it's difficult because it's got multiple factors in there. But it looks as though we saw a decent improvement in the fourth quarter coming out of that activity. I don't have the data for January and February. We wouldn't typically report on that. And sorry, Oli, what was your second question?
Ollie Davies: On pricing?
Andrew Ransom: Pricing. You want to take pricing?
Paul Edgecliffe-Johnson: Yes. So pricing, as you'd expect, is quite a sophisticated discipline. And it's not just that everybody gets an x percent increase on their bill. In an environment where you have higher inflation, it's easier to achieve higher levels of pricing. When inflation is moderating, which we're seeing in North America at the moment, that is not quite so easy to get that. But we push for high rates and then what we actually achieve we have to work through as we come up to renewal dates. So probably a little lighter than in 2024, but we still target for inflation plus. Thanks, Oli.
Allen Wells: Hi, good morning. Allen Wells from Jefferies. Just two for me, please. Coming back on actually Annelies' question on the multi-brand strategy. I remember when you obviously acquired Terminix, the value of the brand was highlighted as something that was important in the value you were planning for that asset. Is there anything we need to read into the value of the Terminix brand and some of the challenges that you're having? And then second question, obviously, we're two years in to the integration. There's a lot changing, I guess, again, now digital leads and conversions are still weak. The sales incentives is still to change. Your Brand and branch strategy is changing today. Maybe for you, Andy, like if you had to take a step back and you could go back two years, what would be the one or two things that you would do differently? What's the thing you think would have changed this story? Can I ask that question?
Andrew Ransom: We may want to do that one in the pub, Allen. Seriously. Look, I mean, I put a chart in the presentation there on the Terminix brand. Terminix brand is a power brand. It's a fantastic brand. They have 98% unaided recognition. That is a very strong brand. We're not leveraging that brand as we should be. With that level of recognition, that should be feeding leads and it should be feeding into the searches that people are looking for. So I look at this and say, sort of part of the answer to the second question, this is an amazing industry, pest control, and you all cover lots of industries. There aren't many industries like pest control. It's an incredibly good industry. It's a subscription business, it's a business you can get price increases, it's got secular growth in it that looks like it's going to be there for a long time. North America continues to grow. Somebody mentioned our competitive performance. I look at that, and I'm encouraged by that. I look at it and say, that's where we're going to get to. That's where we should be. So – and we've got an incredibly powerful brand. We are hacking our way through the jungle here of integration. And we can see the other side, we can see where we can get to. So I look at that and say, the excitement that we saw in this combination to take us to number one in the market in an incredibly exciting pest control market with a very powerful brand. The worries I had at the time were about colleague retention, customer retention, and we've done a lot of work on those. And we've also had to do some pretty extensive work on IT systems. We're taking an end-of-life green screen solution to modern technology. So I look at it and say, yes, what's my one regret? My one regret is we've not delivered the levels of growth that we should have done, could have done, expected to. I'm not honestly sure what one thing or two things we would have done differently. On the brand piece, look, I think – we had a strong view that because of everything I said about the Terminix brand, that was the way to go, to take that power brand and to build from there. And I think two years of execution have shown. We always knew Ehrlich was a great brand, and that's our Heartland brand that goes back nearly 100 years. Western is a strong brand in California, Arizona, Nevada and Utah. Florida Pest Control, who would have thought, is strong in Florida. So we look at that and say, okay, you've got to be smart about these things. That strategy perhaps was not the right one. And therefore, we have to pivot and say, okay, we were going down that way. We're now going down that way. So sometimes in management, it's difficult to say, well, you've got things wrong. I suspect we got that one wrong. I think it's the right strategy now. So no regrets at all on the deal. No regrets on the Terminix brand, I think it's a real power brand. Yes, I think pivoting to retaining those regional brands is the right thing to do and you'll see others have done that, of course. More branches, yes, okay, that looks like a better play. But it does come down to – we've had this discussion, I think, if you thought there was something wrong with the market, if you thought there was something broken with the Terminix brand, if you thought there was competition had some incredible advantage in technology, that would be worrying. But none of that's the case. There's an incredible market. We're offering similar services in similar markets, at similar prices with a similar solution. The opportunity is there. We've just got to grab it. We've just got to execute it. But we also have to get through seven quarters, as I put it internally, seven quarters to get this thing finished now and we'll be through this. And so seven quarters is not such a long time. I know it's a long answer, but maybe we'll do the full version in the pub, but there we are. I think we had a couple more in the room. I'm not sure where we are.
James Rosenthal: Hi. It's James Rose from Barclays. We've got two left you'd pleased to hear. For 2025, we're talking about repurposing the existing investments you've made in 2024. Can you talk about the decision why not to invest a bit more? Why the current level is sufficient for your plan? And then secondly, could we just talk about the thought process behind sales responsibility for field sales going into the branches?
Andrew Ransom: I'll take the second. You take the first.
Paul Edgecliffe-Johnson: Sure. So there's an adage, think, it was David Ogilvy who said that back in the day, 50% of your marketing spend was wasted. You just didn't know which half. Now with performance marketing, with much more digital marketing and spend, et cetera, it's much easier to see what is delivering for you. So we do have a clear line of sight to, as we spend, what's delivering leads, et cetera. We tried new initiatives, I spoke about how we geared up for a season. That didn't arrive at the level that we thought. So as I look at what we want to do in 2025 and the fact that as we are pivoting, it does take time to get a good return on investment. You can't just throw money at things and think that, that will solve problems. It doesn't. So we think that we've got the right balance now. We've got enough that went into the business in 2024, reprioritizing that will give us the results that we want.
Andrew Ransom: Yes. I think sales model is a little bit like religion. You're one thing or you're another and people have very strong views as to whether you should be functional sales or operational sales in a branch-based business. So there's strong views. Do you drive sales through a strongly functional organization or do you drive it locally? You put national account, that's always run as a functional sales organization. You put the indoor sales team, that's typically run as a functional organization. But for the field-based salespeople, you've got a choice: you can either have them effectively reporting to the branch manager or you have them reporting into a sales manager. And then that sales manager can either report to the branch manager or report up through the sales function. Having said it's a bit like religion, we were sort of hybrid. We couldn't quite work out in the model like that, but we had examples of both and that's because you're coming from two different histories and two different backgrounds. Alain Moffroid has gone into North America as our interim North America CEO. Alain's worked for me 15 years, Alain's run pest control businesses in Australia, all across Europe. And one of the first things he's come out and said is we need to move to fully branch-based sales guys who need to report to the branch manager. And the reason for that, and as I say, you can make both models work and many companies will be that or that. It's not right or wrong. It's just how you do it. With this model, the branch manager has to be accountable for both sales and service. In the other model, the branch manager can say, where are my leads? Where are my sales? That's your fault, sales. You need to get your life together. With this model, the branch manager is accountable for sales and service. That is a conventional model that we know very, very well in our Heartland business. So I can't tell you it's right or it's wrong. But that's the reason Alain has gone in and said, first thing I want to do here is to go back to the sales into the branch managers, which is a model we know and love. Andy?
Andrew Grobler: Hi. Andy Grobler from BNP Paribas Exane. Just two, please. Door-to-door sales. Last time we talked, you said it was difficult to make any money out of this and you weren't sure how that strategy would work. You're moving back to door-to-door sales, what's changed? And then secondly, you've stuck with the target of growing at 1.5x the market in the longer term. When the big competitors have been performing as expected, that's never happened. Given all that's passed over the past two or three years, is that really a realistic target from here? Thanks.
Andrew Ransom: Yes, door-to-door sales, thanks for raking that one up, Andy. You're quite right. I am on the record of door-to-door sales that I have struggled with the model. But like I just said in the earlier answer, I think in management you have to be prepared to revisit your decisions. Over $1 billion of the U.S. pest control market goes through the door-to-door channel. So maybe there's more to the door-to-door model than I saw. My challenge with it was twofold. One, it feels to me, in an increasingly digital world the channel that involves human beings knocking on doors seems, to me, a backward step. But $1 billion of the industry is going through that channel. The second objection I had was that your point about not making money. You do have to pay, you're essentially outsourcing the sales element. So you employ a third-party company to do the selling typically and then you pay them a very high sales commission. But the industry that is built up off the back of that has worked out quite fairly that by targeting the right customers with the right offer at the right price at the right time, you can attract new customers and you can retain them, and that's the critical thing because customer retention in the door-to-door model is typically not as strong. So rather than just me keep burying my head in the sand and saying, I'm not sure this model works for us and you know some of our competitors have deployed this model, we've said, okay, let's – rather than just say that, let's look at this properly. Let's have a proper structured pilot in the season. So it's not – we're going into it and it's a pilot, and it will be monitored. We'll monitor the living daylights out of it. So we'll see, does it work? Does it drive growth? Is it sustainable growth? Is it profitable growth? If that all turns positive and it will take all of 2025 for us to complete that, if that all turns positive, then that's an additional marketing channel that we can add to our suite. So I'm not saying it is or it isn't. But rather than me just take a position on it, let's go see. Let's go see if – because there's $1 billion going through that channel. So somebody is making it work.
Paul Edgecliffe-Johnson: And in terms of the 1.5x, I think if you look at what our top competitor would do in the market at the level they're performing at, and we make no apology for the fact that here we think we're going to have power brands. We're going to have regional brands. We're going to have a lot of money to spend behind sales and marketing and then a very efficient branch model, which will allow us to be very competitive and we really don't see why we would not be able to – once we're through integration and still a few things to learn, but it has set a benchmark. And so the expectation is we will be able to deliver that 1.5x level.
Nicole Manion: Good morning. Nicole Manion from UBS. Just one question, please, on branches, which is a bit of a follow-up. I appreciate there's lots of different ways you can move from where you are today on branches to a 500-plus number as opposed to, say, 400. And you've already said that you won't give the split on sort of satellite compared to more traditional branches, which I get. What can I ask is it still sort of part of your thinking at a more traditional branch that kind of sub $3 million in size is subscale? Or is that sort of no longer the thought process? Because it just feels like quite an important definition.
Andrew Ransom: Yes, it's a good question. Yes, we still believe that – and if you do the numbers on competitors, you can get to very similar numbers to ours to be fair. We still believe that if the branch size is less than a couple of million dollars, that is not an optimum size for a branch. It needs to be bigger than that, our view. But we're not religious about it. We're not saying we cannot have branches at that scale, and we do have branches of that scale. But the notion being that $4 million, $5 million, $6 million branch is a better branch size from a span and control, and therefore, operationally is still intact. So that hasn't changed.
Nicole Manion: Okay. And maybe just a quick follow-up. I'm not sure if it's actually sort of stated somewhere, but how many branches do you now have in North America? What's that number?
Andrew Ransom: That's one I'm going to duck because I could give you multiple different answers because you've got physical locations, you've got co-locations, you've got satellite branches and it's in a state of flux as well. So I mean, one of the things we're restarting the full integration plan for the – early in the second half, one of the things that we need to do is to make sure that we've got the absolute complete answer to that question for each of our markets. So we had a plan, right? We were going to deploy in this way with this number of branches in these cities and this and that, that plan is pivoting and we need to remap that plan. So I'm not ducking it for the sake of ducking, it's a very difficult answer to give you and it wouldn't answer the heart of your question. But once we get to the, right, okay, we're ready to go. We're ready to press the green button and on we go. Then I can give you an answer and say, well, this is the end state. Although I did, in answering the earlier question, I wouldn't rule out adding additional small branches, satellite branches, hub and spoke, if you like. I wouldn't rule out adding more, assuming that they go well, we can add more and we think that would be an interesting extension of the sales and marketing budget, if you like. But at the moment, that's the planned, 500-plus.
Paul Edgecliffe-Johnson: So we don't have any questions that have come through the online system. It may be that it isn't working. So if anybody has been asking questions through the online system, it could be user error, it's always possible. But if anybody has been and we haven't addressed them, then apologies and we can certainly follow up afterwards. So please do be in touch.
Andrew Ransom: Thank you very much, everyone.
Paul Edgecliffe-Johnson: Thank you, guys.